Operator: Good morning, and welcome to the GEO Group Third Quarter 2017 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note today's event is being recorded. I would now like to turn the conference over to Pablo Paez. Please go ahead.
Pablo Paez: Thank you, operator. Good morning, everyone, and thank you for joining us for today's discussion of the GEO Group's third quarter 2017 earnings results. With us today are George Zoley, Chairman and Chief Executive Officer; Brian Evans, Chief Financial Officer; Ann Schlarb, President of GEO Care; and Dave Donahue, President of GEO Corrections & Detention. This morning, we will discuss our third quarter results and current business development activities. We will conclude the call with a question-and-answer session. This conference call is also being webcast live on our investor website at investors.geogroup.com. Today, we will discuss non-GAAP basis information. A reconciliation from non-GAAP basis information to GAAP basis results is included in the press release and supplemental disclosure we issued this morning. Additionally, much of the information we will discuss today, including the answers we give in response to your questions, may include forward-looking statements regarding our beliefs and current expectations with respect to various matters. These forward-looking statements are intended to fall within the Safe Harbor provisions of the securities laws. Our actual results may differ materially from those in the forward-looking statements, as a result of various factors contained in our Securities and Exchange Commission filings, including the Form 10-K, 10-Q and 8-K reports. With that, please allow me to turn this call over to our Chairman and CEO, George Zoley. George?
George Zoley: Thank you, Pablo, and good morning to everyone joining us on today's conference call. We are very pleased with our strong quarterly results and outlook for the balance of the year. Our financial performance reflects continued growth across our diversified real estate and services portfolio. During the third quarter, we experienced improved occupancy rates across a number of our eye specialties. We also saw an increase in census at our New Jersey reentry programs, which led the reactivation of our Delaney Hall facility. With our recent acquisition of CEC now fully integrated we have approximately 96,000 beds worldwide, which makes GEO, the largest private corrections and detention provider in the private sector. And to our knowledge the fifth largest among all unified corrections organizations in the world. As of the end of the third quarter, we had approximately 5000 available beds at five idle facilities along with approximately 2000 underutilized beds across a number of our active facilities. We continue to actively market this available bed capacity and believe there are a number of opportunities to deploy these assets. As we've disclosed in the past on a combined basis, these 7000 available beds could generate between $50 million and $60 million in incremental annual adjusted EBITDA at full utilization. We are also involved in several publicly known new business development opportunities. At the federal level The Bureau of Prisons CAR 18 procurement provides an opportunity for us to compete for the management of the 2355 beds Taft California facility currently under rebid. Proposals were due in June with an award expected in mid-2018. The BOP CAR 19 procurement provides for awards up to 9500 beds under 10-year contracts for existing facilities with not less than 1200 beds but not more than 1800 beds located anywhere in the continental United States. We have known facilities that risk under rebid in this procurement. Instead we are able to propose idle facilities in our inventory. Proposals were due in July with awards expected in late 2018. In Texas, we're developing a new 1000 bed ICE processing center in the Houston area under a 10-year contract which we expect to open in late 2018. ICE also has a pending procurement for the management of their government-own 700 beds Florence to Arizona processing center. Proposals were submitted in January and we're awaiting an award. Additionally, ICE has procurement for the transportation services for the San Antonio area of responsibility. Proposals were submitted in January, and we expect an award to be made by the end of the year. Earlier this month ICE also issued a request for information for additional capacity in several locations, including Detroit, Chicago, Saint Paul, Salt Lake City totaling up to 3000 beds. At the state level, the Kansas Department of Corrections has a pending procurement for the development and ownership of a 2400 bed prison facility to replace one of the state's oldest prison. Proposals were submitted in September and a contract decision is expected during the fourth quarter. Turning to the international sector, our 1300 bed Ravenhall project in Australia is scheduled to achieve operational readiness for prisoner transport intake tomorrow at November 1. The Ravenhall project is essentially a fixed price contract and is expected to begin generating $75 million in annual ICE revenues from day one. Additionally, our Junee and Parklea Centers in New South Wales are undergoing expansion projects that are expected to add approximately 680 and 650 beds respectively, and to be completed in 2018. In the UK our transportation joint venture submitted a proposal to the Scottish Government for court custody and prisoner escort services for which we expect a decision by March of next year. Finally, we remain excited about the expansion of our GEO Continuum of Care offend a rehabilitation program, which we have implemented at 15 GEO facilities in the U.S. This year, we have doubled our investments in the GEO Continuum of Care to $10 million compared to $5 million in 2016. We believe strongly that we are at our best when helping those in our care reenter society as productive and employable citizens. And as always, we remain focused on effectively allocating capital to maximize value for our shareholders with the goal of growing our dividend in tandem with our growth in our earnings and cash flows. Now, I will ask our CFO, Brian Evans, to review our results and guidance.
Brian Evans: Thank you, George. Good morning to everyone. This morning, we reported third quarter GAAP earnings per share of $0.31, and AFFO per share of $0.63 and quarterly revenues of $567 million, including $21 million in construction revenue. Excluding the M&A related expenses, we reported adjusted net income of $0.34 per share compared to third quarter 2016, our third quarter 2017 results reflect several items, including the activation of the new ICE contract at our company-owned 780-bed Folkston, Georgia facility in January, the issuance of 10.4 million shares of common stocks on a post-split basis in March, the refinancing of our credit in March and the acquisition of CEC which closed in April. Sequentially from the second quarter this year our third quarter results reflect higher occupancy rates across a number of our ICE facility. Looking at the most recent data from U.S. customs and border protection, monthly apprehensions along the Southwest Florida more than double from April to August of this year. During the third quarter, we also experienced a higher overall census in our New Jersey reentry programs as a result of the restoration of funding funds state government shutdown in earlier July. The increase in overall census in our New Jersey operations also led to the reactivation of our Delaney Hall facility in New York. Although, we continue to have available capacity at the facility. Moving to our guidance for the balance of the year, we have confirmed our fourth quarter earnings per share guidance in a range of $0.34 to $0.36, and AFFO per share in a range of $0.63 to $0.65, on quarterly revenues of $557 million to $562 million. Our fourth quarter guidance reflects the following operational and financial items. The continuation of the improved occupancy rates at our ICE facilities and higher overall census at our New Jersey reentry programs, which we began to experience during the third quarter. The continuation of current contract terms for our company-owned Big Spring Texas facilities, through the end of November with our new 10-year contract terms with the BOP beginning on December 1st. The November 1st activation of the Ravenhall facility in Australia at approximately 1000-beds, which is expected to generate approximately $75 million annually at that occupancy level. The final transition cost related to CEC acquisition with normalize financial results expected in the first quarter of 2018, and the previously announced discontinuation of the 1,500-bed Allen, Louisiana managed-only contract at the end of August. For the full year, we expect net income attributable to GEO to be in a range of $1.25 to $1.27 per share, and annual revenues of approximately $2.25 billion. We expect full year adjusted net income per share of $1.37 to a $1.39, and full year AFFO of $2.52 to $2.54 per share. Looking at our liquidity position, we have approximately $550 million in available capacity under our revolving credit facility, in addition to an accordion feature of $450 million under the credit facility. In terms of our uses of cash, our growth CapEx is expected to be approximately $105 million in 2017, of which approximately $77 million spent through the end of the third quarter. We also have approximately $79 million in scheduled annual principal payments of debt. Earlier this month, our board declared a quarterly cash dividend of $0.47 per share or $1.88 per share annualized. As we have committed to you in the past, we will continue to evaluate our dividend on a quarterly basis, with a targeted payout ratio of 75% to 80% of AFFO. With that, I will turn the call to Dave Donahue for a review of our GEO Corrections & Detention segment.
Dave Donahue: Thanks, Brian, and good morning, everyone. Looking at our GEO Corrections & Detention segments from the United States, our state segment has remained stable throughout the entire year. We have long-standing partnerships in nine states, including Florida, Georgia, Louisiana, Oklahoma, Arizona, New Mexico, California, Virginia and Indiana. In four of these states, California, Georgia, Oklahoma and New Mexico, we owned and manage our facilities. And the remaining four states, Florida, Arizona, Virginia, and Indiana, we operate one or more state-owned facilities through managed-only contracts. As we look at the state budget picture, all but one of our state customers has stable budgets. And our correctional facilities have been able to provide high-quality services without being impacted by budgetary constraints. Across our eight GEO state customers we've been expanding the delivery of our continued programs, which we've now launched at more than a dozen GEO state facilities. And we are excited about the opportunity to expand our relationships within those states. In Florida, this year the state legislature allocated $2.9 million in funding to expand the GEO Continuum of Care programs to four additional facilities beyond our company-funded program at Graceville Correctional Facility. We also remain optimistic about the opportunity to partner with new states across the country. Several states continue to face capacity constraints. And many of our state customers are facing challenges related to older prisons, which need to be replaced with new and more cost-efficient facilities. In the states where we have a presence, the average state prison ranges from approximately 30 to 60 years. The state of Kansas has undertaken a procurement probe gun process for the development and ownership of a new 2,400-bed facility to replace the state's oldest prison facility. Proposals under this procurement was submitted in September with the contract decision expected during the fourth quarter. Similarly, the state of Wisconsin has begun policy discussions to considering a proposal for the development of a new facility to replace one of the state's oldest prison facilities located in the Green Bay area. As well as potentially additionally replacement facilities for some of the state's oldest prisons. In Colorado, the Department of Corrections issued a solicitation for the leasing of 250 beds at existing private facilities. Proposals for this procurement were submitted earlier this month and we're currently awaiting the contract decision. Over the last couple of years, several other states, including Michigan, Oklahoma and Alabama have also discussed proposals for the use of existing private facilities or the development of facilities to replace older, more costly facilities. Moving to our federal segment. We have enjoyed a three-decade-long partnership with the federal government, and we currently providing services for the Bureau of Prisons, Immigration and Customs Enforcement and the U.S. Marshal Service. In Texas, we're developing a new 1,000-bed ICE processing center in the Houston area under a new 10-year contract we were awarded by ICE earlier this year. The new center is expected to cost approximately $120 million and will be completely in October of 2018 with expected annualized revenues of $44 million. As it relates to new opportunities, the BOP has two pending procurements for the housing of criminal alien populations. Under the CAR 19 procurement, the BOP expects to award up to 9,540 beds at existing facilities. The proposals were submitted in July, and the BOP has begun touring the proposed facilities with contract awards in late-2018. Under the CAR 18 solicitation, the BOP is rebidding the management contract for the Taft, California facility, we previously operated this facility between 1997 and 2007 and submitted our proposal in June to manage the facility under a new 10-year contract. ICE has a pending procurement for the management of their government-owned 700 beds Florence, Arizona service processing center. Proposals were submitted in January and we're currently awaiting an award decision. ICE also has the solicitation for severe transportation services in San Antonio, Texas. Proposals were submitted in January with an expected contract decision by the end of the year. Finally, earlier this month, ICE issued a request for information for facilities which would be existing over new sites. To be located in the Detroit, Chicago, Saint Paul and Salt Lake City areas. On a combined basis these facilities are expected to have up to 3000 beds. Touching briefly on the federal budget process as you may be aware the U.S. Congress pass the short-term continuing resolution. In September funding the government through the end of the year. The current continuing resolution provides funds consistent with the prior fiscal year spending levels, which included funding for ICE for approximately 39,000 detention beds. As we reported last quarter, the House Appropriation's markup released the summer reflected an increase of $700 million for ICE enforcement and removal operations above the prior fiscal year's funding levels. This proposed increase would provide funding for 44,000 detention beds for ICE an increase of 5000 beds as well as 1600 additional ICE officers, agents and support staff. The House Appropriations markup for the Department of Justice included over $1.5 billion in funding for the federal detention under the U.S. Marshals budget. This represents an increase of approximately $82 million to support a projected increase in the average daily population of U.S. Marshals detainees from 51,000 in 2016 to 54,000 in 2018. With respect to the BOP the House Appropriations marked up included approximately $7.1 billion in funding which represents an increase of $61 million over the prior fiscal year. Congress is expected to work towards approval of the spending bill that will fund the government for the balance of the fiscal year following the exploration of the current continuing resolution at year end. Moving to our International markets, our 1300 bed Ravenhall Prison project in Australia is scheduled to achieve operational readiness for prisoner intake tomorrow November 1st. The Ravenhall facility cost approximately $700 million inclusive of a $90 million investment by GEO and is expected to generate approximately $75 million in annual revenues at 1000 bed occupancy under a 25-year contract with Corrections Victoria. This important contract will provide for quarterly fixed payments for the operation of the facility plus the service linked payment tied to the delivery of rehabilitation and reentry outcomes. Growing inmate populations have created the need for additional capacity in Australia. To meet this need, two of our facilities in New South Wales the Junee and Parklea Centers are undertaking expansion projects totaling approximately 680 and 650 beds respectively, which are expected to be completed in 2018. Finally, our UK joint venture submitted a proposal to the Scottish government for the provision of court custody and prisoner escort services under a fixed monthly payment along with variable payments based on the number of vehicle trips and movements. At this time, I'll turn the call over to Ann for a review of our GEO Care segment. Ann?
Ann Schlarb: Thank you, Dave, and good morning, everyone. GEO Care has had a very active year so far and we're very pleased with the operational and financial performance of our four divisions. During the third quarter, our reentry division experienced an overall higher census in our New Jersey programs. As you may recall, we had experienced a temporary decline in utilization rates in the state of New Jersey, which was the results of the State budget impacts and government shut-down in early July. Ultimately the enacted beds restored the funding for our programs and we experienced a ramp up in the utilization of our facilities over the last two months. In fact, we were able to reactivate our Delaney Hall facility in New York during the third quarter to provide state funded reentry programs to our FX and Union County. We remain very optimistic about our expanded reentry platform following the acquisition of CEC. We've identified a number of new business opportunities and have submitted several proposals for residential and non-residential programs. These new potential projects represent more than $85 million in incremental annual revenue opportunity. In terms of our used services business, we continue to experience stable utilization rates across our facilities. Our used segment has been stable for the past couple of years after our team undertook a number of consolidation and marketing initiatives. We're constantly evaluating our youth facility portfolio to ensure we are maximizing the utilization of our assets and programs. Moving to our BI electronic monitoring division, the utilization of our ISAP contract with ICE has steadily increased over the last quarter. At the state and local level, BI continues to pursue a number of new business opportunities. Finally, we have expressed you in the past, we are very excited about our GEO Continuum of Care program. Our GEO Continuum of Care division overseas the integration of our industry leading evidence faced rehabilitation program imprison with post-release support services. We have been implementing these programs at a number of our facilities around the country and we're already starting to see meaningful results an improved outcomes and reduced recidivism. We believe that our focus on improved rehabilitation and community re-entry programs is in line with efforts been undertaken by government agencies to invest a meaningful rehabilitation and recidivism reduction programs. At this time, I will turn the call back to George for his closing remarks.
George Zoley: Thank you, Ann. We are very pleased with our strong financial performance and outlook for the balance of the year. Our management team remains focused on capturing new growth opportunities. We continue to carefully evaluate our capital allocation to create sustainable long-term value for our shareholders. We are excited about the continued success of our company and I'd like to thank all of our employees worldwide, many of them who are listening on this call. Their dedication and professionalism are unmatched and have allowed GEO to become the fifth largest corrections organization in the world and to be recognized by our customers as best-in-class. We remained optimistic about the demands and the trends in our diversified business segments. And we look forward to further any our commitment to better the lives of those and trusted to us who are GEO Continuum of Care rehabilitation programs. We believe strongly that we are at our best when helping those in our care reenter society as productive and employable citizens. We are now happy to open the call to your questions.
Operator: Thank you. [Operator Instructions] And our first question will come from Tobey Sommer of SunTrust.
Unidentified Analyst: Hi, this is Conte [ph] on for Tobey, thank you for taking my questions. First up, where do we sit on the ramp up of ICE population from interior enforcement, is the ramp up still in the beginning stages and how should we think about how border crossings versus interior enforcements will drive ICE population growth in 2018? Thank you.
George Zoley: I think we are still in the early stage of interior enforcement. And we expect a progressive as combination of interior enforcement with border crossings to steadily increase the overall senses as we see it now as occurred during the third quarter and we forecast for the fourth quarter and for next year. So, I think there is an awareness that ICE is issuing request for information for different additional locations around the country as they expect to establish additional facilities that are primarily driven by the need for additional capacity due to the interior enforcement. So, and looking to the future we believe that the census will continue to increase by virtue of a combination of stronger interior enforcement combined with border crossings.
Unidentified Analyst: Got it. And regarding the recent RFP for new ICE bed capacity in the four different cities, is there appetite for new construction or facilities to meet the ICE requirements. How should we think about GEO's maximum CapEx acceptable to build new facilities for ICE?
George Zoley: I think that the new RFs will provide a number of locations for a new builds and GEO has a such an appetite for these kinds of facilities, particularly with the contemplated, length of the contracts, which we estimate to be approximately 10 years. So, yes, we're very interested in those opportunities.
Unidentified Analyst: Okay. And lastly for me on real estate only solutions for GEO, what is the likelihood of spending a new real estate only deal by the end of this year? Is it more likely now, that it will get push up in 2018? Thank you.
George Zoley: Well, there is an only a few months left at before the end of this year, we expect some decisions to be made towards the end of the year or at the beginning of next year, early part of next year.
Unidentified Analyst: Thank you very much.
Operator: And our next question comes from Kevin McVeigh of Deutsche Bank.
Kevin McVeigh: Hey Brian, can you help us understand, what drove the increase in the guidance on the revenue side, was that specifically ice or any other factors?
Brian Evans: I think the main driver was just the timing of some of the Ravenhall construction related revenue was off I think in the previous quarter, both quarter and then it was better in this third quarter, as they catch up, remember the project is basically winding down from a constructive perspective and facilities is expected to begin operations here in November.
Kevin McVeigh: Got it. And then, can you just remind us on Ravenhall, where it is that said, on the income statement, is that going to be up in the managed-only, or in the owned at least?
Brian Evans: Well, it's a managed-only facility, but we do have an equity investment, so, there will be some return in the, either in the revenue line or the interest income line related to that equity investments. And then obviously the operation piece will be in operational revenue and margin.
Kevin McVeigh: Got it, got it. And then my final question was any thoughts on Governor Brown kind of vetoing the EU state populations, any thoughts on that in terms of potential impact for you folks?
George Zoley: Could you clarify that question vetoing?
Kevin McVeigh: Yes, George, I think the legislature was trying to an act of law that would prohibited California from an acting the use of out of state facilities, and he vetoed that bill, as I understood it. So, I think that's actually good for the industry. Is there anything kind of potentially out there in California, or is that just kind of keeping his options open.
George Zoley: Well, I think there is a hope that eventually they won't need this out of state beds. And that remains to be seen whether they ever get to that point or not, because my understanding is their population continues to increase.
Kevin McVeigh: Super. Thank you.
Operator: [Operator Instructions] And our next question will come from Mark Strouse of JPMorgan.
Mark Strouse: Good morning. Thanks for taking my questions. So, I just wanted to kind of follow-up on an earlier question, regarding the ICE. Are you able to say what percentage, what kind of mix of those beds could potentially be met using your existing facilities or your idle beds?
George Zoley: We certainly have a couple of facilities that qualify for the use, in response to our RFI, we can't really say, maybe 25% to 50%.
Mark Strouse: Okay, okay, that's helpful. And then just, I understand it still another an RFP, but where are your expectations as far as timing of - when those beds could potentially come on line?
George Zoley: Well, if the RFI is following it up on meaning that they like what they receive as far as additional capacity and locations, I would think, they'd move forward within RFP early next year, decision by late next year, the construction of facility, if it's a new one, we'll take another. If it's an existing facility, I would think that contract would come on line, let's say January 2019.
Mark Strouse: Understood. Okay, thank you very much.
Operator: And this concludes our question-and-answer session. I would like to turn the conference back over to George Zoley for any closing remarks.
George Zoley: Okay. Thank you all for listening into this third quarter conference call. We look forward to address soon on the next call. Thank you.